Operator: Good morning, everyone, and welcome to The Hershey Company's Third Quarter 2017 Results Conference Call. My name is Erica, and I will be your conference operator today. All participants have been placed in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. Please note, this call may be recorded. Thank you. Mr. Mark Pogharian, you may begin your conference.
Mark K. Pogharian - The Hershey Co.: Thank you, Erica. Good morning, ladies and gentlemen. Welcome to The Hershey Company's third quarter 2017 conference call. Michele Buck, President and CEO; and Patricia Little, Senior Vice President and CFO, will provide you an overview of results, which will then be followed by a Q&A session. Let me remind everyone listening that today's conference call may contain statements which are forward looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2016 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and summary of consolidated statements of income prepared in accordance with GAAP. Within the Note section of the press release, we have provided adjusted pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP. Rather, the company believes the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss third quarter 2017 results, excluding net pre-tax charges of $7.8 million, or $0.05 per share-diluted, which are primarily related to business realignment cost, derivative mark-to-market losses and non-service-related pension expense. These charges are defined in the Appendix of this morning's earnings release, which is available on our website at www.TheHersheyCompany.com. Our discussion of any future projections will also exclude the impact of these net charges. And with that out of the way, let me turn the call over to Michele Buck.
Michele G. Buck - The Hershey Co.: Thanks, Mark, and good morning to all of you on the phone and the webcast. In the third quarter, I'm pleased with our performance. We delivered growth, both in net sales and EPS, in a volatile environment. We continue to feel good about our CMG and snack strategy, as most segments within the $100 billion U.S. snack wheel remained strong and continue to outpace center of the plate trends. As planned, constant currency net sales increased 1.1% in the third quarter. And EPS of $1.33, increased 3% versus last year. There was no change to our constant currency full year net sales outlook, and we reaffirmed full year EPS growth at the high-end of our 7% to 9% range. As discussed previously, embedded in our outlook are important marketplace investments in the business that will benefit the company over the near and long-term, as well as some new challenges, such as higher freight and distribution, that emerged in the course of the quarter. Patricia will have further details, but some of these, particularly the supply chain costs, pressured Q3 operating profit and are expected to continue in Q4. We believe investments in our strategic initiatives will enable the business to deliver long-term sales growth, gross margin expansion and operating profit growth, or a virtuous cycle, over our strategic planning cycle. Advertising and related consumer marketing expense increased 3.7% in Q3. Advertising expense was up 10%, partially offset by lower consumer promotions. There is no change to our full year North America advertising and related consumer marketing outlook, although International and Other segment advertising and related consumer marketing is estimated to be lower in 2017 versus 2016, resulting in total Hershey Company spend that will be about the same as last year. Now, let me turn to our measured channel retail performance. But before I do, I want to note that this summer, we selected IRI as our preferred market insights and analytics provider. IRI has made significant investments in capabilities and technology platforms, and we believe they are a good partner for Hershey. IRI's platform will help us target the right consumers, in the right channels, at the right moment. Total Hershey Q3 U.S. retail takeaway growth was 1%, driven by CMG growth of 1.4%. This more than offsets some softness in grocery items, such as baking chips and syrup. Looking at CMG, or candy, mint and gum, the category and Hershey continue to outpace center of the store edibles. For the 12-week and year-to-date period ending October 8, CMG category growth was plus 2.4% and plus 1.7%, respectively. Hershey Q3 and year-to-date CMG retail takeaway was plus 1.4% and plus 2%. Our year-to-date CMG market share is up plus 0.1 points, driven by strong innovation and in-store activity in the first half of the year. Importantly, within the combined chocolate and non-chocolate candy segment, where we derive the majority of our U.S. sales, Q3 category growth is about 3.3%. Our core chocolate brands, Reese's, Hershey's, Kit Kat and Kisses, continue to drive growth, and I'm particularly pleased with their marketplace performance. The combined retail takeaway on these brands in Q3 increased about 5%. As we've discussed in prior quarters, this was partially offset by planned decline on select chocolate and non-chocolate candy brands as we focus on reducing complexity and improving overall velocity rates at retail. Therefore, the increase of Hershey's Q3 combined chocolate and non-chocolate candy retail takeaway of plus 1.1% resulted in market share being slightly off. We are working on plans to improve the performance of our non-core candy brands and look forward to sharing this with you in the near future. Hershey's CMG and snacks innovation had another good quarter. It's my goal to ensure that on an annual basis, this strategic lever is a lever that consistently delivers meaningful, sustainable CMG and snacks growth. We continue to anticipate strong innovation as a contributor to achieve our long-term net sales growth target of 2% to 4%. Specifically, Hershey's Cookie Layer Crunch, or CLC, is tracking as expected. We achieved our distribution target earlier in the year and maintain this level, given the repeat velocity at retail. CLC has been strongly supported by advertising throughout the year on TV, social and online, with continuity media planned through the rest of the year. As we look to 2018, we'll continue to invest in this product with the launch of Cookie Layer Crunch Triple Chocolate. Shipments to select customers begin near the end of the year. Importantly, the Cookie Layer Crunch platform is Hershey's largest launch in recent history and will receive equal support in year two as it did in year one. The transition from lay down bags to stand-up pouches on our core chocolate packaged candy products is progressing. In the fourth quarter, we'll introduce new retail-ready packaging at select retailers before a broader rollout next year. This initiative enables product to get on the shelf quicker, with less in-store labor and it improves shopability in the aisle. Both of these packaging initiatives have an impact on gross margin in Q4 and most likely in the first half of 2018, but we believe this is the right long-term investment for our brands and business, as it should result in improved shelf presence and visibility. In Q3, we also made good progress against our snacks platform. We expanded our initial Snack Mix and Snack Bites products with the launch of Hershey's and Reese's Popped Snack Mix and Chocolate Dipped Pretzels, primarily in large format take-home bags. While early, results are encouraging. Net sales growth is ahead of plan and consumer reaction is positive when our brands are merchandised in the snacks aisle. The velocity of the Popped Snack Mix items is in line with similar competing products, while the Hershey-branded Chocolate Dipped Pretzels is outpacing competition. So we feel good about the progress we're making. Our power chocolate brands are growing and gaining share, and we're working on plans that should enable other parts of our CMG and snacks portfolio to see gains in the near future. As I discussed in July, e-commerce is another strategic initiative that we are focusing on. We continue to work with key brick-and-mortar retailers related to their click-and-collect and omni-channel initiatives, as well as with established e-commerce players. As a result, our year-to-date U.S. e-commerce sales are up about 40%. We have a dedicated and growing cross-functional team responsible for the strategies and execution of our e-commerce plan in developing the next generation of online impulse solutions. We're working with all the key strategic partners and will be validating and testing concepts in Q4 and 2018 that we believe will lead to a sustainable business model. Given our strong CMG position in the U.S., we are collaboratively working with our partners to develop e-commerce-friendly portfolios, digital shelf upgrades, and alternative fulfillment solutions. And in September, we went live with a customer on the first-ever omni-channel Halloween program. Initial results are exceeding expectations, and I'm very excited about the potential for our business in this space. Now, for an update on our International and Other segment, excluding China, our International and Other segment constant currency net sales are expected to increase this year. Net sales for the quarter were relatively in line with our estimate, and on a constant currency basis, about the same as the third quarter of 2016. We're making measured investments in our core markets of Mexico, Brazil and India, where we're seeing solid marketplace gains. Combined constant currency net sales growth in these markets was 8%, and we're improving on operating income trends at the same time. In China, we're executing against the Margin for Growth program as we discussed on March 1. This efficiency and effectiveness initiative is progressive nicely and on track. We're optimizing our in-country supply chain and streamlining the operating model, as we strike the right balance between in-country investments and near-term market opportunities. As expected, due to summer seasonality, the China chocolate category declined by about minus 1% and is roughly flat year-to-date. Small format stores continued to show growth, outpacing the marketplace performance in hypermarkets. Going forward, we have a measured and disciplined strategy in China that is focused on the Hershey brand's messaging, continued e-commerce penetration, and smaller store format expansion. So I'm pleased with our progress in this segment. And I expect our focus on profitable growth to result in break-even or better operating results this year. Now to wrap up, confections is one of the largest segments within the $100 billion U.S. snack market, and we are confident that our brands and consumer-centric business model position us well to deliver sustained top and bottom-line growth over the long-term. I'm encouraged that the broader snacks category continues to grow, despite the volatile consumer and retail environment. Our strong U.S. marketplace presence and solid financial position gives us the flexibility to smartly invest in confectionery and other snacks as well as in the capabilities that give us a competitive edge at retail and with consumers. We're committed to our marketing mix modeling, trade, TV advertising, and digital media and investments related to innovation, consumer marketing and insights. This is part of our DNA and why I remain so optimistic about Hershey and the opportunities that lie ahead of us. As we look to 2018, it's too early to talk about details; however, we feel good about our preliminary plans. We believe we have the right level of core brand activity, innovation, and programming lined up that will continue to drive category growth, despite a shorter Easter. Hershey's Cookie Layer Crunch Triple Chocolate and upcoming Reese's innovation will bring variety and news to the category. And I'm also excited with the introduction of Hershey's Gold, Hershey's fourth flavor. Hershey's Gold features a rich cream that delivers a buttery sweet flavor and a distinctively new Hershey's experience. Its caramelize cream also includes a combination of salty crunchy bits of peanuts and pretzels that deliver a creamy, crunchy satisfaction. The instant consumable pack type will begin to ship to only a few select customers in Q4, but you'll see it in stores more broadly in January, as merchandising and program will be tied with the Winter Olympics, which begin on February 9. We're a growth and EBIT margin-focused company with a goal of increasing margins over the long-term via both cost control and, importantly, top-line growth. I'll now turn it over to Patricia, who will provide you with details on our financial results.
Patricia A. Little - The Hershey Co.: Thank you, Michele. Good morning to everyone on the phone and on the webcast. Third quarter net sales of $2.033 billion increased 1.5% versus last year and includes a 0.4 point benefit from favorable foreign currency translation. Constant currency net sales growth of 1.1% was in line with our estimate. Gains were primarily driven by the North America segment and the success of new products. Adjusted earnings per share-diluted came in at $1.33, an increase of about 3% versus last year, driven by our higher sales and the positive impact of the Margin for Growth program savings related to International and Other operating income improvements. Volume was a 0.7 point contribution to sales growth, and net price realization was a 0.4 point benefit. In Q2, we lapped the acquisition of barkTHINS, which is on track with our plans. By segment, North America net sales increased 1.6% versus the same period last year, including favorable foreign currency translation of 0.3 points. Volume was a 1.6 point contribution, and net price realization, 0.3 points unfavorable. We were pleased with North America segment sales performance, which benefited from core brand growth. Innovation, including Hershey's Cookie Layer Crunch, as well as the launch of Hershey's and Reese's Popped Snack Mix and Chocolate Dipped Pretzels. Total International and Other segment net sales for the third quarter increased 0.8% versus last year. Excluding the 1.3 point impact of favorable foreign currency exchange, International and Other segment net sales declined 0.5% versus the year-ago period. Volume was off 5.2 points due to planned declines in China, and net price realization was a 4.7 point benefit. Turning to margins, adjusted gross profit increased about 1%, resulting in adjusted gross margin of 45.3%, a decline of 30 basis points versus the third quarter of last year. Lower input costs and supply chain productivity and cost savings initiatives were more than offset by unfavorable sales mix and higher freight and increased levels of manufacturing and distribution costs, primarily related to the packaging initiatives that Michele mentioned and the company's focus on maintaining service targets at faster-growing retail customers. For the full year, we expect adjusted gross margin to increase about 25 basis points versus our previous outlook of about 50 basis points. The change is primarily driven by the higher freight, new packaging and customer service costs. And given our supply chain structure and our focus on strategic customers, this could be a gross margin headwind in the first half of 2018. Adjusted operating profit in the third quarter of $446.9 million was about the same as the year-ago period, resulting in operating profit margin of 22%, a decline of 30 basis points. As expected, the increase in gross profit, as well as SG&A productivity and cost savings at the corporate level, were offset by the planned investments in the business discussed last quarter, as well as higher go-to-market expenses and employee-related costs. And, as Michele mentioned, advertising and related consumer marketing expense increased 3.7% versus the third quarter of 2016, as advertising expense increased 10%, partially offset by lower consumer promotions. The third quarter 5.3% increase in North America advertising and related consumer marketing expense was in line with our forecast. Now, let me provide a brief update on our International and Other segment. On a constant currency basis, net sales declined 0.5% and was relatively in line with our forecast. The China supply chain transformation is on track, with the majority of the work expected to be complete by the end of 2018. The reorganization within SG&A functions, which began last quarter, is progressing. The benefit from this work is evident in the improvement in segment operating income. Our SKU analysis and optimization efforts are on track, and we'll look to leverage this work going forward as we focus on five strategic initiatives that should improve our top and bottom-line trends. Specifically, the team is looking to: drive Hershey brands' SKU conversion; Hershey innovation; to optimize channel growth, focusing on small formats; and focus on key strategic accounts; and our e-commerce. We expect China chocolate category sales in brick-and-mortar to be flat to slightly up for the full year 2017, while e-commerce is forecasted to grow around 15%. As expected, given our SKU optimization, our chocolate performance has lagged in brick-and-mortar; however, our online retail takeaway is up for the year-to-date period. Looking at our other focus markets, we continue to be please with our efforts in Mexico, Brazil and India, where combined constant currency net sales in these three countries increased 8%. Third quarter International and Other segment operating income of $16.4 million increased nicely. It was driven by the implementation of the Margin for Growth program and the timing of select investments and expenses. Therefore, we expect Q4 operating results in this segment to be similar to last year. As we stated previously, we are driving a strong profit-focused mentality in this segment and are beginning to see the bottom-line trend improve, and we expect International and other segment operating income to be at least breakeven this year. In Mexico, chocolate progress continues, with solid double-digit retail takeaway. For the year-to-date period, we slightly outpaced category growth and gained share. Q3 constant currency net sales in Mexico increased by about 10%, driven by a combination of volume and pricing. Sales were strong across key brands, particularly Kisses and Hershey's milk drink box. Our new Hershey's choco-yogo product continues to gain trial, with repeat in line with our expectations. In Brazil, our team is focused on profitable growth, despite the challenging operating environment. Q3 constant currency net sales increased 3.3%. We estimate that year-to-date chocolate category growth in Brazil is about 13%. Our retail takeaway was about two times the category growth rate, fueled by both distribution gains and higher velocities, resulting in a market share gain of about 0.5 point. Constant currency net sales in India increased 16% and slightly exceeded our plan. Growth in the brands we're investing behind continues to be solid. Our transition of the India portfolio is enabling a higher margin business, and we are on track to expand gross margins here by 1,000 basis points in 2017. This is enabling adjustments in the local marketplace that should result in a sustainable operating model. Moving down the P&L, third quarter interest expense of $24.6 million was in line with last year. For the full year, we continue to expect interest expense to be in the $95 million to $100 million range. The adjusted tax rate in the third quarter of 2017 was 30.4% versus 30.7% in the year-ago period. For the full year, we anticipate that the effective tax rate will be towards the high end of the 26.5% to 27% outlook we discussed last quarter. In 2017, we expect other income and expense related to tax credits to be about $65 million versus our previous estimate of $60 million. For the third quarter of 2017, weighted average shares outstanding on a diluted basis were approximately 213.4 million shares, resulting in adjusted earnings per share-diluted of $1.33, or an increase of 3.1% versus a year ago. Total capital additions, including software, in the third quarter and year-to-date period, were $64 million and $149 million, respectively. For the full year, we expect that CapEx will be in the $260 million to $275 million range versus the previous estimate of $270 million to $290 million. During the third quarter, adjusted depreciation and amortization was $62 million, and we paid $136 million in dividends. On August 23, the Board of Directors approved and the company announced that it purchased 1.5 million shares of its common stock from the Hershey Trust Company for approximately $159 million, or $106 per share. The company did not repurchase any common shares against the $500 million share repurchase authorization approved in January 2016. There is $100 million remaining on this authorization. This morning, we announced that the Board of Directors approved an additional $100 million share repurchase program that will commence after the current program is completed. This authorization is a result of the company's strong balance sheet and confidence that we'll deliver long-term earnings per share-diluted growth of 6% to 8%. Additionally, in the third quarter and year-to-date period, the company repurchased $41 million and $141 million, respectively, of common shares to replace shares issued in connection with the exercise of stock options. Now to summarize, as Michele stated, we are focused on our consumer-centric business model and on driving growth and margin expansion, with the right level of investment. And while we're excited about the launch of Hershey's Gold and Cookie Layer Crunch Triple Chocolate, the Q4 sales of these products are not expected to be as great as the Cookie Layer Crunch fourth quarter 2016 sell-in. Consumer uncertainty persists across several geographies. We're pushing hard in export markets such as Asia and the Caribbean, where some Q4 challenges have cropped up. We believe, however, that the plans we have in place will enable us to achieve our full year constant currency sales target of around 1.25%. Exchange rates continue to fluctuate, and we now expect the impact on full year sales to be minimal versus our previous outlook of 25 basis points unfavorable. As we have implied in prior calls, input costs are lower this year; however, the supply chain costs I discussed earlier are greater than our previous estimate. Therefore, expected full year adjusted gross margin expansion is about 25 basis points. The Margin for Growth program is progressing, and we continue to expect 2017 savings of about $25 million. Combined with advertising and related consumer marketing, it should be about the same as last year, and a slightly higher tax rate towards the top end of the range, we continue to expect 2017 adjusted earnings per share-diluted growth to be around the high end of our 7% to 9% target. Thank you for your time this morning. And I'll now turn it back over to Michele for some closing comments.
Michele G. Buck - The Hershey Co.: Thanks, Patricia. I just want to start by thanking all of our employees for those solid Q3 results that we delivered. As you've heard me say before, in an environment of accelerating change, I see opportunity. And I'm optimistic about our future. We are focused on what we need to do to succeed. Our balance sheet and cash flow remain strong. Our executive management team and the Board of Directors are confident that we'll continue to build value for all Hershey shareholders. So thank you. And now, we will open it up for any questions that you may have.
Operator: Thank you. We'll go first to the line of Ken Goldman. Please go ahead.
Kenneth B. Goldman - JPMorgan Securities LLC: Hi. Good morning. Thank you.
Mark K. Pogharian - The Hershey Co.: Hey, Ken.
Michele G. Buck - The Hershey Co.: Good morning.
Kenneth B. Goldman - JPMorgan Securities LLC: You had talked about spending more on your customers for maintaining some of their service targets. Can you elaborate on this a bit? And the reason I'm asking is we're hearing about Walmart and Kroger meeting with U.S. food companies to really make sure that out-of-stocks are limited. So I guess I'm curious and I know you don't necessarily know what's happening with some other food companies, but from your perspective, do you think this pressure is specific to Hershey? Or do you think the pressure, if there is any pressure, really, to maintain these customer service targets, is something more broad-based around food that we should be aware of?
Michele G. Buck - The Hershey Co.: Yeah. So let me talk a little bit broadly, and I'll also talk about Hershey in particular. So first of all, yeah, customer service rates are critically important to our customers in the marketplace right now. And I think, certainly, as there is a pressured consumer retail environment, we all want to capture every sale that we possibly can. So, as a result of that, we believe it was a strategically-good decision for us to really focus and up our performance on customer fill even higher, even if it meant some additional investments in moving product around a bit more. So I would say that that is an overall theme in the industry between retailers and manufacturers that we are all jointly working on together. I'll also tell you, if I speak to Hershey specifically, there are a couple pressures that we had. So you can see the strong growth that we have in our core brands and have continued to have all year long, has actually put pressure on activity (30:14) across our system. And we have made decisions to move product around a bit more to make sure we don't lose any of those sales as we invest in manufacturing capacity to expand our capabilities on those brands. Some of the innovation that we've had on our business as well has necessitated a few more touches and a few more additional shipments that drove some cost for us. Some of the multi-component products like Snack Mix, for example, where you're moving multiple ingredients to make the products. And then also some of our packaging initiatives that we believe are critically important in the marketplace, which, on a temporary basis, create some additional inventory across the system. And then I think you're aware, you've probably heard others talk about that, going forward, there are some additional pressures just across freight, given tightening capacity in the short-term. There were some weather-related issues. And over the longer-term, I think there are some trucking-related, trucker availability issues and capacity that are emerging and starting to impact, as well as some new regulatory changes that we believe is going to create pressure on the availability of truckers as well.
Kenneth B. Goldman - JPMorgan Securities LLC: And thank you very much for that detail. Very quick one for me, you talked about the sales mix maybe hurting your gross margin a little bit. How much of that, if at all, was related to some weak C-store trends we're seeing, not necessarily for you but across the board?
Michele G. Buck - The Hershey Co.: Yes. I mean, certainly, we've seen that the C-store retail community has talked about some of the pressures that they felt in their stores and trips not being where they would like them to be. So we certainly sell a lot of instant consumables there. So we are always anxious to have strong trips into that environment. So certainly, that has an impact. I would say there's a few other places where we're expanding the portfolio across snacking that also have a lower margin than our core items. And certainly things like Snack Mix, which I think have very viable and successful in the marketplace, create a little pressure on mix as well.
Mark K. Pogharian - The Hershey Co.: Yes. And, Ken, just one more point to remember, we did talk about the top-line in the second quarter and would had reflected the trends we were seeing in the C-store at that time.
Kenneth B. Goldman - JPMorgan Securities LLC: Great. Thanks so much.
Operator: Thank you. We'll go next to the line of Rob Moskow. Please go ahead.
Mark K. Pogharian - The Hershey Co.: Rob, you there?
Robert Moskow - Credit Suisse Securities (USA) LLC: Oh, sorry. Yeah, thanks. I could be modeling this a bit off, but I'm trying to figure out what your guidance implies for operating income in fourth quarter. It looks to be down double-digit, if I got the tax rate right. So did I get that right? And is there anything specific about fourth quarter on the comparisons that caused that? I know you had a tough comp to last year's Cookie Layer Crunch launch. Thanks.
Patricia A. Little - The Hershey Co.: Yeah, thanks. Yeah, I think that's the biggest impact you're really seeing is that tough comp to last year (33:37) impact. That's really the biggest driver that we have. We also have – fourth (33:42) quarter's our time when we typically spend a fair amount of advertising in China as well. That's always a fourth quarter drag on our performance. And we do have really strong advertising performance that we're expecting in the fourth quarter in our U.S. business related to our new product innovation.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. So it's higher advertising? That's what makes this quarter different from the other quarters?
Patricia A. Little - The Hershey Co.: Well, and the sell-in on Cookie Layer Crunch.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay.
Mark K. Pogharian - The Hershey Co.: That's the implication in your model. Sales are obviously down in the fourth quarter. We planned it that way, Rob, going back to July, as we stated in the remarks, you have some of these gross margin pressures in the third quarter, certainly, you'll have for all of the fourth quarter. You'll be seeing more of the packaging that we talked to ship more in the fourth quarter than the third, as third is highly weighted, obviously, more towards Halloween.
Robert Moskow - Credit Suisse Securities (USA) LLC: And can I ask a follow-up about 2018? I know it's early, but we're all watching cocoa commodity costs and seeing all this deflation, hopefully, benefiting your business. It seems to me that that benefit could be quite a bit bigger than the drags you're talking about on freight and on mix. Maybe it's early to talk about those things, but could you give us a sense of, just broadly, whether you're still thinking about gross margin expansion in 2018.
Michele G. Buck - The Hershey Co.: Patricia, do you want to talk about that a little bit?
Patricia A. Little - The Hershey Co.: Yeah. We always want to expand our gross margin. In terms of commodities, in general, as we like to remind you, we hedge out 3 to 24 months. So we're not going to ever see us completely follow the market on cocoa. We're going to bleed that in over the next couple years. And, in fact, we already had said that we had lower input costs this year. So we've already captured some of that reduction in cocoa. We see other commodities that continue to actually be up, so the mix basket is certainly moderating that reduction in cocoa prices.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Operator: Thank you. We'll go next to the line of David Driscoll. Please go ahead.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great, thank you and good morning.
Michele G. Buck - The Hershey Co.: Hi, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Wanted to ask a little bit more about the retail inventory levels. I believe that on the last call, you talked about second quarter shipments coming in ahead of consumption. I think we estimated that as something like two percentage points. In the quarter, it doesn't look like there was a big difference between shipments and consumption. So I'm just wondering about the inventories at retail. Do you expect it to have a negative impact in the fourth quarter relative to your shipments? Just where do things stand?
Michele G. Buck - The Hershey Co.: So, David, we continue to expect that at the end of the year, our inventory and our retail takeaway will be aligned. Third quarter has been a little bit of a messy quarter relative to all those weather impacts that occurred. And actually, even being able to get the available data from a Nielsen or an IRI to really feel confident, given some of the stores that have been closed down, et cetera, and then also with seasons. So I think the best way to think about it is that we anticipate them to be fully aligned by the end of the year.
Mark K. Pogharian - The Hershey Co.: Yeah. And looking at your things to make, (37:12) David, for the fourth quarter, while it won't look like the third quarter at all on the top line, we expect takeaway to be positive in the fourth quarter.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: All right. That's really helpful. A follow-up on the C-stores, our data actually does show that C-stores have been weakening for Hershey. And I'm just curious if you could just develop a little bit more why. I think you were talking about trips before. Is it just trip issues or is there anything specific to your products in C-stores? And then, just do you have any...?
Michele G. Buck - The Hershey Co.: Yeah, David. If you look at our full year plan, our plan was a bit more front-loaded. And particularly, if you looked at C-store, we are lapping an unusually strong period year ago on instant consumable innovation when we had the Kit Kat Big Kat and as well as the Reese's Pieces Cup. And so the category was looking good in third quarter. And we have a tough lap, though, particularly because of the year-ago innovation in instant consumable and that's the biggest thing impacting us.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Very helpful. Thank you.
Michele G. Buck - The Hershey Co.: You're welcome.
Operator: Thank you. And we'll go next to the line of Steve Strycula. Please go ahead. Your line is open.
Steven Strycula - UBS Securities LLC: Good morning. Quick question for gross margins, just want to clarify, against the cocoa benefit that you guys will be facing, you also commented about incremental headwinds related to supply chain persisting into next year. When we net the two together, should we still think of like a similar type of gross margins trending lower when you mention pressure for the first half of next year, or should we just expect more muted gross margin gains? Thank you.
Patricia A. Little - The Hershey Co.: This is Patricia. I think that we always want to be more (39:08) gross margin, but, yeah, we do see them as being more muted based on the points that you made. We'll be giving our guidance next year with more specificity.
Mark K. Pogharian - The Hershey Co.: Steve?
Steven Strycula - UBS Securities LLC: Oh, that was it for me.
Patricia A. Little - The Hershey Co.: Okay. Thank you.
Mark K. Pogharian - The Hershey Co.: Okay. Thank you.
Operator: Thank you. And we'll go next to the line of Jonathan Feeney. Please go ahead. Your line is open.
Jonathan Feeney - Consumer Edge Research LLC: Good morning. Thanks very much. Just one; Patricia, could you maybe give us some more detail on what are the mix factors, either by channel or product, that you called out in your commentary and their approximate magnitude, as far as their impact on gross margin, both this year and going forward? Thank you.
Patricia A. Little - The Hershey Co.: Yeah. I think we've touched a few of them already in the call. So, first of all, we are seeing some impacts from our expected and very successful Snack Mix products, or similar products like that, that are pressured gross margin. Nothing is as profitable, we always say, as our core of our core products. But we do need to expand our portfolio. And then, also, some of the things that we've already touched on around the general mix between instant consumable and other types, between seasons, instant consumable is also a little bit of a pressure on us as well.
Jonathan Feeney - Consumer Edge Research LLC: Is it about in that order of magnitude? And are there any other channel impacts going from C-store, which is presumably underperforming, as Dave and you mentioned, versus to other channels?
Patricia A. Little - The Hershey Co.: I think of it more as an instant consumable impact, frankly, than a channel-driven one.
Jonathan Feeney - Consumer Edge Research LLC: Understood. Thanks very much.
Operator: Thank you. We'll go next to the line of Andrew Lazar. Please go ahead.
Andrew Lazar - Barclays Capital, Inc.: Hi, good morning everybody.
Michele G. Buck - The Hershey Co.: Hi, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Of some of the negative impacts to gross margin, as you talked about, that might persistent a little bit into 2018, freight, packaging, some of the service targets, mix, I was hoping maybe you could dimensionalize those a bit, if there are ones that are of larger impact versus some of the others. And maybe if there's any way you can help quantify a little bit their impact in this quarter, it can help us a little bit with the way we think about how 2018 can play out.
Mark K. Pogharian - The Hershey Co.: Yeah, Andrew, I mean, for various competitive reasons, I'm not sure we want to get into the magnitude of each one of these. We all have different levels of investments with customers and how we service them. As you look to 2018, certainly, we started the initiative you're seeing here in the third quarter. So you will see in the first six months of 2018, a pressure on gross margin. I'm not saying gross margin's up or down in the first half for 2018. We'll give more specificity, obviously, in January. Commodities, we have deflation this year. You know there are some that are going to be up all the time, even as it relates to next year. Some that are going to be down as it relates to next year. We're a gross margin-focused company. We need that to work to keep investing in the model and get the virtuous cycle that Michele referred to. So I mean, I think, overall, we feel pretty good about our long-term outlook.
Andrew Lazar - Barclays Capital, Inc.: Got it. Thank you. And then, Michele, you had mentioned some of the other non-core chocolate and candy brands are the ones that you'll be talking a little bit more about going forward. But maybe you can give us a little insight into maybe what some of the issues are with some of those brands. Was it just lack of appropriate innovation or effective innovation? Or maybe what some of the issues have been around why those have been a bit more of a drag?
Michele G. Buck - The Hershey Co.: No, absolutely. So if you think about our total portfolio, if you think about the baking piece of the portfolio, chips and syrup, I think, saw some of the similar trends that we've seen with other center of store categories, so some pressure there. We spoke earlier this year relative to us having a focus to right-size our snacking portfolio and really focus more in a precision approach, so some of that right-sizing. And then, as it comes to what we call our variety chocolate brands and sweets, we've been working on optimizing our consumer communication and investments there to stabilize and get some growth out of those brands.
Andrew Lazar - Barclays Capital, Inc.: Thank you.
Michele G. Buck - The Hershey Co.: You're welcome.
Operator: Thank you. And we'll go next to the line of Jason English. Your line is open.
Jason English - Goldman Sachs & Co. LLC: Hey, good morning, folks. Thank you for allowing me to ask a question. I actually have two questions; first, a bit more strategic and then one a bit more tactical. Patricia, I think you referenced and, Michele, you've referenced many times, your portfolio diversification strategy. And if I go back to your Analyst Day, there was quite a bit of focus on trying to spread your wings beyond just your core CMG space. And you've done it with a little bit of innovation. Where do we sit on that now? Where do we sit in terms of the ambition, the progress? And you mentioned your clean balance sheet. Could we expect to see you utilize that to try to accelerate some of those initiatives outside of the core CMG space?
Michele G. Buck - The Hershey Co.: Yeah. So we remain committed to our strategy of being an innovative snacking powerhouse and really a focus on capturing more snacking occasions and appealing to new users within snacking. And, yes, I think we're continuing to execute against the strategies that we've laid out relative to innovation, leveraging our core brands in areas like Snack Mix, which we're really pleased with the results; barkTHINS, which is up, I think, 50% this year, which has also been a nice addition. And as we look at our priorities overall, we've always stated that M&A is a key piece of that. And you've seen us execute against that over the past couple years. So I would expect that that would continue to be a piece of how we look to deliver that expansion.
Jason English - Goldman Sachs & Co. LLC: Okay. Thank you. So turning quickly to the second question, you mentioned some sort of top-line drag from SKU rationalization, portfolio optimization, clean-up, et cetera. We don't really see evidence in the data yet. As a matter of fact, your total distribution points are up overall. They're up in chocolate. They're up in non-chocolate candy. They're up baking, gum. So I guess the question there is one of cadence. Has this been sort of a recent thrust that maybe hasn't yet shown up in the data, and therefore, is likely going to be a drag on the go-forward?
Mark K. Pogharian - The Hershey Co.: Yes. Jason, this is Mark. I mean, I think you heard us reference some of this in March 1 as well. I mean, I think as a matter of practice, we're always doing this and you're seeing selective SKUs come out. Not every piece of innovation that we have will be on the shelf for three, four, four or five years. So there is a cycle to offset so that when (46:51) some of this comes off, we have something there to replace it. But sometimes, the velocity of what it's replacing versus the velocity of what's coming is, isn't always, always, always equal. And you may see some of that play out over time here in the next year or two, as you look at the velocity of some of the snack stuff in CMG. When you think...
Michele G. Buck - The Hershey Co.: I was going to say, I think it might just be hard to look at total distribution points because there is so much noise in those distribution points. So we've had an active SKU rationalization program where we are eliminating merchandising SKUs, many smaller things. At the same time, we have our stand-up packaging initiative in the marketplace, which put new SKUs in place, which we think are very productive SKUs. And so there's a little bit – both of those things going on at the same time that I think is getting muted in the total numbers, too.
Jason English - Goldman Sachs & Co. LLC: Okay, thank you, guys. I'll pass it on.
Operator: Thank you. We'll go next to the line of Rob Dickerson. Please go ahead.
Unknown Speaker: Good morning. This is Kiniko (48:04) on for Rob. I just had a quick question for you. We recently heard a large U.S. confection player state in their recent earnings result that there has been a retailer push ahead of Halloween. So I was just trying to get a sense of what do you make of that in terms of the overall, I guess, promotional backdrop? Was there more promotional activity? Are retailers trying to drive traffic even more so this year, particularly with branded candy? And do you expect this to persist going into Q4?
Michele G. Buck - The Hershey Co.: So I think that we always see retailers really try and leverage seasons as a destination to bring consumers into their store environments. And I think that this year is no different, from that perspective. I would say, I would remind you that we have continued to see over the past several years a lot of compression around the holidays. So with Halloween being on Tuesday, it's hard to get a total feel for what the season will shake out like. But I think that overall merchandising, we're seeing very strong collaboration with retailers, as we have in the past. So I can't say we've seen a really big change there. I think we see the retailer continuing to use the seasons as they have.
Unknown Speaker: Okay, great. Thank you. I'll pass it on.
Operator: Thank you. And we'll go next to the line of Alexia Howard. Please go ahead. Your line is open.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Good morning, everyone.
Michele G. Buck - The Hershey Co.: Good morning.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Can I ask about the pricing dynamics in North America? Your pricing is down, I think, 0.3% in the region this quarter. We've been hearing about it being more challenging out there, with retailers pushing back on pricing. I imagine that that's either a mix effect or maybe tweaking promotional activity year-on-year. Could you just comment on how competitive things are out there and maybe even if you can't comment on exactly pricing strategy from here, how you expect the shape of that to develop going forward? Thank you.
Michele G. Buck - The Hershey Co.: You know, we have had a continuous focus, as we've talked to you before, about building strategic revenue management capabilities. Our big focus has continuously been being even more effective and efficient with our promotional dollars. And so, I think the movement that you would see in the marketplace, at least from us, would be around us really trying to get tighter about the best promotional programs and price points that maximize driving top-line, but at the most profitable levels, so that we're not getting ineffective deflation, but we're using price to maximize revenue. And I think that continues to be a focus for us. Certainly, I think in a pressured environment, some elements of the market are looking at whether price can bring in more consumers. But I think that everybody's also looking at that in a very balanced way, which is unless price is really driving incrementality, then it's deflation that has no benefit. So, I think that's what we're really seeing in the marketplace. And our focus, clearly, is on making every dollar count, getting smarter about what really drives the performance.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Thank you very much. I'll pass it on.
Operator: Thank you. And we'll go next to the line of John Baumgartner. Please go ahead.
John Joseph Baumgartner - Wells Fargo Securities LLC: Thanks for the question. Good morning.
Michele G. Buck - The Hershey Co.: Good morning.
John Joseph Baumgartner - Wells Fargo Securities LLC: Michele, just curious in terms of the retail landscape, you mentioned that some of the snack section is being merchandised in the snacks aisle. So I guess first off, do you have a sense from your consumer segmentation work or from retail observations, are the salty snacks categories where share is kind of being sourced to make way for this snack section?
Michele G. Buck - The Hershey Co.: So as we look at our broad snacking strategy, clearly, the goal of expanding occasions is to drive incremental purchase and to source more broadly across that snacking wheel. And, yes, I would say we do do research and analytics to try and understand how we can best develop propositions that will add incrementally to our portfolio. So that's definitely a key area of focus for us.
John Joseph Baumgartner - Wells Fargo Securities LLC: And can you speak to the promotion and some of the merchandising protocols in that snacking aisle? I mean, how are the interactions different with the consumers and retailers from confectionery? It seems that that salty snack space is a lot more fragmented.
Michele G. Buck - The Hershey Co.: So I think where we are gaining some placement, it is an area that's more fragmented. And certainly, one approach that we're trying to do is to leverage the strengths that we've built over the years around category management to help the retailers to make that section as productive as possible to bring some of the great innovation that we've been known for in the confection category and provide news and exciting propositions in that segment to generate interest and bring new shoppers there. So our focus is really, just as it is within confection, how do we drive the category there and bring incrementality. If I think about the competition, I think national players always tend to be pretty strong wherever they're established. And I think it sometimes more the regional players that experience pressure in those scenarios.
John Joseph Baumgartner - Wells Fargo Securities LLC: So are you finding the shelf space is a bit more expensive in that snacks aisle and that's part of the negative margin mix of the snacks section business?
Mark K. Pogharian - The Hershey Co.: Patricia has always said, nothing is going to ever be as profitable as a candy bar, if you're looking at its absolute margin. So, I mean, as it relates to everything else in that aisle, I would probably say no. But as it relates to our portfolio, obviously, nothing is as profitable as a candy bar, right?
Patricia A. Little - The Hershey Co.: So it's that more than the mix around shelf space. It's not a shelf space issue. It's just a fundamental value proposition all the way through our chain.
Michele G. Buck - The Hershey Co.: Yes.
John Joseph Baumgartner - Wells Fargo Securities LLC: Understood. Thanks for your time.
Operator: Thank you. And we'll go next to the line of Ken Zaslow. Please go ahead.
Mark K. Pogharian - The Hershey Co.: Hi, Ken.
Ken Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone. Most of my questions have been answered. I just want to understand the CapEx, you reduced it a little bit. Was there something to think about there? Is it just a refinement? Is it putting projects into next year? And then, can you just talk about some of the key capital projects that you have?
Patricia A. Little - The Hershey Co.: Yeah. This is Patricia. I'll take that one. So, as we told you, we're embarking on a multi-year replacement of our ERP system and some associated projects. As is typical in the early days of refining that, we just moved some money out on that. It really is related to making sure that we're putting the right resources against those systems and fine-tuning the best way to do that. That's really the biggest impact of the CapEx reduction.
Ken Zaslow - BMO Capital Markets (United States): Okay. So there's nothing to read into it. I appreciate it. Thank you.
Patricia A. Little - The Hershey Co.: Just the normal adjustments of big systems projects, I would say.
Ken Zaslow - BMO Capital Markets (United States): Perfect. Thank you very much.
Mark K. Pogharian - The Hershey Co.: Okay, thanks, Ken.
Operator: Thank you. And we'll take our last question from Erin Lash.
Erin Lash - Morningstar, Inc. (Research): Thank you for taking the question. I kind of want to touch on capital priorities, cash priorities, particularly in light of a major confectionery player pursuing strategic alternatives for their confectionery offerings in the U.S. and just kind get your sense. I know you won't comment specifically on that transaction, but just your sense for the overall acquisition environment, the multiples that sellers are looking for and basically your appetite to do a deal.
Michele G. Buck - The Hershey Co.: I would just say we've stated before that M&A is a piece of our capital strategy. We're particularly interested in companies with accelerating revenue growth, primarily within the U.S. $100 billion snack wheel. And certainly, are interested in companies that either complement our confectionery portfolio, our snacks business or our go-to-market. Patricia, anything you want to add to that?
Patricia A. Little - The Hershey Co.: No. There's really been no change in our priorities from a (56:52) capital perspective in terms of investing in the business, and making sure we return cash to our shareholders through dividends and share buybacks. There's really been no change in that approach.
Michele G. Buck - The Hershey Co.: And I think we're just always looking for propositions that are – everything we do is around creating shareholder value, whether it's on our base business or M&A. So that's always our lens.
Erin Lash - Morningstar, Inc. (Research): To the extent that you have looked at deals up till now, do you feel like the premiums being proposed by sellers are reasonable or inflated? Any sense there would be helpful.
Michele G. Buck - The Hershey Co.: You know, it's a competitive marketplace and that's about all I would say, right, continues to be competitive marketplace out there from an M&A perspective.
Erin Lash - Morningstar, Inc. (Research): Thank you very much. I appreciate it.
Mark K. Pogharian - The Hershey Co.: Thank you for joining us today for the third quarter conference call. The Investor Relations group will be available for any follow-ups you may have.
Operator: We'd like to thank everybody for their participation. Please feel free to disconnect the line at any time.